Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter Earnings Call of Albany International. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. At the request of Albany International, this conference call on Tuesday, February 12, 2019 will be webcast and recorded. I would now like to turn the conference over to Chief Financial Officer and Treasurer, John Cozzolino for introductory comments. Please go ahead.
John Cozzolino: Thank you, Operator, and good morning everyone. As a reminder for those listening on the call, please refer to our detailed press release issued last night regarding our quarterly financial results with particular reference to the Safe Harbor notice contained in the text of the release about our forward-looking statements and the use of certain non-GAAP financial measures and associated reconciliation of GAAP. And for purposes of this conference call, those same statements also apply to our verbal remarks this morning. And for a full discussion, please refer to that earnings release as well as our SEC filings, including our 10-K. Now I will turn the call over to Olivier Jarrault, our Chief Executive Officer, who will provide some opening remarks.
Olivier Jarrault: Thank you, John. Good morning. Welcome everyone and thank you for joining our fourth quarter earnings call. We will follow today a similar format of past calls. I will begin with an overview of the quarter. Then John will take you through our financial results in more details. And after which, I will provide an update to our outlook. And we will then take your questions. Q4, 2018 was another very good quarter for Albany International, as strong performance continued across both businesses. Total Company net sales increased 11% or 15% excluding the impact of ASC 606 and currency translation effects. Compared to Q4, 2017 net income and adjusted EBITDA both increased sharply. Net income increased to $17 million while adjusted EBITDA grew to $58 million due to higher sales and productivity improvements in both MC and AEC. MC sales in the fourth quarter, excluding the impact of ASC 606 and currency translation effects, increased 4% compared to Q4, 2017. Globally, MC sales grew in both, the packaging and publication grades with particular strength in North America. MC gross margin in Q4 increased to 48.6%, compared to 45% in Q4, 2017 primarily due to higher sales and improved plant utilization. Operating income and adjusted EBITDA both increased significantly compared to Q4 2017 with adjusted EBITDA improving to $51 million in the quarter. For the full year, MC net sales excluding the impact of ASC 6069 and currency translation effects, increased 3%, compared to 2017 with increases in all major paper grades. The increase in Net sales reflects our continued leadership in product innovation, our superior customer service levels, and our commitment to outstanding application engineering. Operating income and Adjusted EBITDA both increased sharply compared to 2017, with Adjusted EBITDA growing to $212 million, reflecting strong process productivity improvement and the impact of our continuous focus on cost reduction initiatives. Q4 was another quarter of strong, improving performance for AEC, with significant growth in net sales, Operating income and Adjusted EBITDA compared to Q4 2017. Net sales, excluding the impact of ASC 606 and currency translation effects, increased 34%, while profitability continued to improve compared to Q4 2017 The increase in sales in Q4 was substantially driven by the LEAP program. Sales of fan cases, fan blades and spacers for LEAP engines, which represented about 44% of AEC Q4 2018 sales, grew 31% compared to Q4 2017, reflecting AEC’s continued execution related to the unprecedented steep ramp-up of this jet engine program. Higher sales of Boeing 787 fuselage frames, as well as F-35 and CH-53K components, also contributed to the growth in sales. Combined sales for these three programs grew 43% compared to Q4 2017. AEC Operating income continued to improve as it grew to $6.7 million in Q4, compared to $0.6 million in Q4 2017. Adjusted EBITDA also continued to improve in the quarter as it increased to $18.1 million, or 17.9% of net sales, compared to $10.8 million, or 14.1% of net sales, in Q4 2017. The increase in both Operating income and adjusted EBITDA reflects not only higher sales volume, but also productivity improvements resulting from the deployment of a disciplined standardized operational system across our AEC plants, as well as the favorable impact of our continuous improvement program. The AEC team is improving quality and on-time delivery to our customers despite increasing demand and record shipment levels. For the full year 2018, AEC Net sales, excluding the impact of ASC 606 and currency translation effects, increased 36% compared to 2017, exceeding the upper end of the 20% to 30% range we discussed in past quarters. Sales related to the LEAP program were the largest driver of this increase, along with growth in sales of Boeing 787 fuselage frames and F-35 and CH-53K components. AEC’s profitability also showed strong improvement in 2018 with sharp increases in Operating income and adjusted EBITDA. Adjusted EBITDA in 2018 grew to $63 million or 17.1% of net sales. In R&D, our new product development activities, which focus on existing, derivative and new technologies and our process improvement projects which aim to optimize our operational performance across AEC continued in Q4 to build upon the progress of prior quarters. Our continued execution on our major existing contracts, as well as on anticipated new contract wins provides the potential for AEC to reach annual sales of $500 million to $550 million in 2020. As I have stated in previous quarters, the potential for AEC beyond 2020 will be based not only on executing on the continued ramp up of existing programs on which we are already well established, but also on increasing share or acquiring first-time content on ramping programs, while at the same time winning new contracts on future commercial and defense airframe and engine platforms. Now, let’s go back to John for more details on the quarter. John?
John Cozzolino: Thank you, Olivier. I’d like to refer you to our Q4 financial performance slides. Starting with slide three, net sales by segment; total company net sales in Q4 increased 11% compared to Q4, 2017 and 14.5% excluding both currency and ASC 606 effects. In Q4, excluding currency and ASC 606, MC net sales were up 4.5% and AEC net sales increased 34.3% compared to Q4 last year. For the full year 2018, excluding currency and ASC 606 effects, total company net sales increased 13.6% compared to 2017 with MC sales up 3.3% and AEC sales of 35.9%. As discussed in the press release, in Q4 the company discovered implementation issues related to the adoption of ASC 606. The issues were related to the MC segment online and caused an immaterial overstatement in revenue and income previously reported in the first nine months of 2018. The issues have been corrected and previously reported amounts for 2018 will be revised in our 2019 quarterly filings. We have also incorporated the revised amounts into each of these slides. In addition slide nine provides the revised numbers for Q1 through Q3, 2018 for certain financial statement line items and adjusted EBITDA. Turning to slide four, total company gross profit margin was 34.9% in Q4 compared to 34.2% in Q4 2017. AEC gross profit margin in Q4 was 14.5% compared to 13.1% in Q4 last year. MC gross profit margin in Q4 stayed strong at 48.6% compared to 45% in Q4 last year. For the full year MC gross profit margin improved to 48.6% in 2018 compared to 47.5% in 2017 and AEC improved to 14.2%. Slides five and six, showed net income and adjusted EBITDA by segment for the quarter and the full year. Adjusted EBITDA for the total company in Q4, 2018 was $57.7 million compared to $43.4 million in Q4, 2017. For the full year 2018, adjusted EBITDA for the total company increased to $228.9 million compared to $169.4 million last year. MC finished the year strong with adjusted EBITDA at $51.2 million bringing the full year total to $212.1 million. Both results were significant improvements over last year. AEC adjusted EBITDA in Q4 was $18.1 million and $63.3 million for the year. AEC adjusted EBITDA as a percentage of net sales in 2018 improved to 17.1%. Moving on to Slide seven, earnings per share, net income attributable to the company in Q4 was $0.55 per share compared to $0.18 per share in Q4 of last year. Excluding adjustments for restructuring, tax items, currency revaluation and net impact of a pension settlement charge and a curtailment gain and income attributable to the company was $0.74 per share in Q4 compared to $0.44 per share last year. On a full year basis, net income attributable to the company excluding adjustments was $2.80 per share in 2018 compared to $1.67 per share last year. Slide eight shows our total debt and net debt. Cash flow was very good in Q4, which included the impact of improved working capital during the quarter. As a result, total debt decreased just over $5 million to about $525 million at the end of the year, while cash balances increased about $37 million to a total of $198 million. The combined effect of the decrease and total debt along with the increase in cash resulted in a decrease to net debt of $42.5 million in Q4 to a balance of $327.2 million. The improvement in net debt in Q4 was more than enough to offset the year-to-date Q3 increase, as net debt for the year dropped $5.3 million. Payments for all capital expenditures in Q4, 2018 were about $22 million. We expect capital expenditures to continue to be in the range of $20 million to $25 million per quarter throughout 2019 as the company continues to invest in equipment to support multiple ramp ups in AEC. Now I’d like to turn it back over to Olivier for some additional comments, before we go to Q&A.
Olivier Jarrault: Thanks, John. Now let’s turn to our outlook. Looking at 2019, the MC business is well positioned to maintain relatively stable sales, with adjusted EBITDA once again higher than the historical range of $180 million to $195 million. Assuming no significant changes in global economic conditions or currency rates, we expect 2019 adjusted EBITDA to be between $195 million and $205 million. In 2019, we expect AEC to continue to substantially grow sales with further incremental improvement in profitability compared to 2018. Full year 2019 net sales are expected to grow in the range of 20% to 25% driven by higher sales of higher sales of fan blades, fan cases and spacers for the LEAP program, and components for the CH-53K, F-35 and Boeing 787 programs, as well as by our advanced technologies development work in support of next-gen engine programs. Adjusted EBITDA as a percentage of net sales should show some incremental improvement compared to 2018, keeping AEC on track toward our goal of 18% to 20% Adjusted EBITDA as a percentage of net sales in 2020. Overall, Q4 was another very good quarter for the Company, completing a year of outstanding financial performance in both businesses. MC Net sales, Operating income and Adjusted EBITDA all increased in Q4 and for the full-year compared to 2017, with Adjusted EBITDA well ahead of the upper end of the historical range of $180 million to $195 million. MC is well positioned for relatively stable sales in 2019 and with the potential for Adjusted EBITDA in 2019 between $195 million and $205 million. AEC had another strong quarter with growth in net sales, operating income and adjusted EBITDA, completing a very successful year. AEC is expected to continue to grow substantially in 2019, with additional incremental improvement in profitability compared to 2018. With that, let’s go to the line for any questions. Operator?
Operator: Thank you. [Operator Instructions]. Our first question will come from the line of John Franzreb with Sidoti & Company. Go ahead please.
John Franzreb: Good morning, Olivier and John.
Olivier Jarrault: Good morning, John.
John Franzreb: I like to start with your guidance on AEC by 2020. The 500 to 550, I guess, compared to the fall you’ve taken up the bottom end of your range by about $25 million. Could you talk about why you did that? Is some programs moving forward faster than maybe originally expected six months ago?
Olivier Jarrault: Yes, sure. You know our growth in 2020 is primarily driven of course to our ability to execute on the ramp-up programs on which we’re very well positioned. LEAP, of course, the CH-53K, the Boeing 787 frames, as well as the F-35 components. So what we need is a very discipline windfall, very disciplined process really understanding or reassessing in as accurately as we can, without content that we have by platform looking at the growth [ph] expansion in 2019, 2020, 2021. And we came back to those numbers primarily increasing about $25 million based on those measured platform. We also took into account some very specific advanced technology development work in support of some very specific NexGen engine program that we’re working on. I can’t give detail on it, but lot of activity going on the R&D side of our business. And all that made us feel pretty positive about a minimum of $500 million. We’re increasing about 25 [ph], I’ll say, versus our last target. So 500 to 550, the 550, the upper side of the range would depend on how many new wins we could increase the share gains, we could negotiate between – throughout 2019 on either existing programs or other platform – existing platform ramping up. So, we feel pretty comfortable, if you will, with that new range.
John Franzreb: Okay. And talking about new wins, would you expect something to be announced some time in calendar 2019 in regard new wins?
Olivier Jarrault: Its -- we’re working on lot of different potential wins not only I would say on the engine side, but also on the airframe side both commercial and defense applications. We have recently -- actually we have recently brought at AEC a new Vice-President of global sales. And we’re in the process of implementing our strategy worldwide. We don’t want to stay only focus on the U.S. market, but we want to expand our activities globally in Europe as well, not only within the engine, commercial and utility, but also airframe, but also equipment market and we will be announcing any potential wins, right, for 2019 as soon as it happens.
John Franzreb: Okay. Switching over to Machine Clothing, you had a great quarter of EBITDA. And last year you still projecting very strong EBITDA in this year, but it’s slightly down. Is that a function of your expectations that revenues might be off? Or is it increased commodity cost that may have to flow through the P&L, just why we think it would be down in any sense year-over-year?
Olivier Jarrault: Yes. It’s a good question. I mean, you know, our 2018 was as you said a record earnings year for us. And we are – we think that the business, I mean, MC business is very well-positioned in 2019 to again perform and give a very good financial performance, right. But I think to answer your question its good to maybe look at what really happened in 2018 and how we see the market going in early 2019. So, we have in 2018, we have had that you noted strong sales. We -- I talked about improved plant utilization. We had as you know a pretty favorable set of – could I say, favorable currencies environment especially the Mexican pesos and the Brazilian money. And we had a fairly stable and favorable macro economic condition. We saw, if you look back what we talked about end of Q3 and again in this quarter we saw some increases in our publication rights, PMC sale, especially in the second half of 2018 across North America, Europe, Asia Pacific driven by some specific orders, especially in North America. We don’t know if those orders will repeat or not in 2019. In addition, we saw in 2018 which I noted at the end of the third quarter, we saw an increase in our tissue grades PMC sales especially in North America but also in Europe and Asia Pacific related to several specific new machines started. Once again, we’re going to see them at the same level in 2019, we still don’t know yet. So, as we enter in 2019 if I look at the overall macroeconomic data, right, we know that overall growth ended around 3.7% in 2018, estimated to continue in 2019, but definitely I think at a slower pace than 2018. However, there are significant, how could I say, uncertainty, there’s no secret that the Chinese economy is slowing down in 2019. It did slowdown in 2018 already. We have trade ongoing – trade negotiations between China and the U.S. We have the undefined nature of Brexit. We have all those political uncertainties in several countries in Europe, such as France with the gilet jaunes, Germany with a Chancellor [ph] and so on. Only South America is actually improving. So, those issues may have an impact on the global economy growth and our MC markets during 2019. However, its very important for me to note that we continue however to believe that during the next five years the paper and paperboard production will continue to increase as we recently published by RISI at about 1% to 1.5% per year, right, about 1.4% actually if I could read. So now if I look at strictly at the PMC market if you were going into 2019, let me share with you my view, right, our view on the PMC market globally. So, the U.S. PMC market which is our largest market seems to be more or less stable due to packaging and tissues grades consumption, increases, offsetting, more or less decline in publication grades consumption especially in newsprint. Switching to Canada, the Canadian PMC market will continue to shrink. We think that mainly due to continued publication grades consumption decline especially once again in newsprint. We switch to Brazil, the PMC market will be essentially flat we believe due to favorable economic conditions but with the slowdown of export of pulp grades to China. If you look at Europe, the European PMC market will continue to drop as a result of growth in the packaging grades consumption with machines conversions from printing and writing to packaging machines that however as I already mentioned last quarter consumed less PMC than publication machine. And then if you switch to Asia-Pacific, the Southeast Asia PMC market will be more or less stable with China PMC market we know that, it will keep on shrinking as a result of lower Chinese production of packaging grades due to environmental issues and what we’re hearing about ongoing restrictions on imported recycled fiber. So when you look at, if you put that into consideration, we think that PMC business is well-positioned to relatively keep the same level of sale and deliver good financial performance ahead of the range of 180 to 195, at 195, 205. As a result I would say, the combined effects of volume, a little bit of labor inflation or material inflations and as I just noted some product mix. So, we will – one thing for sure that we’ll deliver a good performance. We will continue, a very important point for us from the strategy standpoint we will continue our technical and service levels focus on packaging and tissue grades as we’re clearly in the leadership position, while of course continuing to manage the decrease in publication grades. Our product innovation and technology leadership and our focus on providing superior value to our customers, talking about cost effective solutions, I’m talking about top level – top service levels in terms of one-time deliver, in terms of lead time. I’m talking about our quality levels will be best to resist against market pressure and we’ll enable us to maintain our global leader position in the market, right. That’s our view for 2019.
John Franzreb: All right. Perfect. Thank you, sir. I’ll get back into queue.
Olivier Jarrault: Thank you.
Operator: Our next question will come from the line of Christian Herbosa with Noble Capital Markets. Your line is open.
Christian Herbosa: Hi. Thanks for taking my call and congrats on the great quarter.
Olivier Jarrault: Good morning, Christian, nice to have you on the call.
Christian Herbosa: Thank you. So, looks like in Q4 the AEC segment was already close to achieving the low end of your 2020 adjusted EBITDA margin target range of 18% to 20%. So, my question is, do you think that the AEC segment has the potential to improve beyond that range?
Olivier Jarrault: Well, listen, we have to look at the performance of this year versus performance of last year. Last year I believe we did in 2017 once you exclude one or couple of -- unfavorability of couple of contracts when it was unfortunately on us. We did roughly on the adjusted basis about $30 million of EBITDA, or 11%. We had a good -- I would say a good operationally improvement. As you noted, the full year 2018, $63 million roughly of EBITDA and 17.1% of EBITDA margin, that put us -- I would say, that position the business properly I believe to now go from $63 million to a roughly say, $100 million of EBITDA in 2020. I think it’s a very healthy goal. It’s only the 18% to 20% of the 500 to 550 range in volume. So I stick on that goal. Once again, $30 million last year, $60 million -- $63 million [ph] this year, that’s keep on continuing to ramp up to executes on this multiple ramp-up to keep on deploying across all our AEC plant a discipline operational in the management system and we have seen that it starting really pay off. We have brought in actually in the past five or six months a very experienced new aerospace leadership team especially on the AEC side, right to manage that unprecedented steep ramp up of the LEAP, brand new leader on the operational side, brand new finance leader, brand new quality leader, brand new LEAN manufacturing. So we’re really bringing a lot of aerospace if you will – aerospace -- global aerospace experienced at AEC. And I feel comfortable about that $100 million [ph] of EBITDA target, it’s a very healthy growth for 2020.
Christian Herbosa: Okay, great. Thank you for the color there. And then so, I’m interested in hearing a little bit more about the new product development activities in R&D for the AEC segment. Are there any particularly attractive opportunities that you’re able to tell us about?
Olivier Jarrault: Well, there are lot of work as I was mentioning and I cannot really publicly ready to talk about, give you more and more detail, but there’s a lot of work if you will, lot of advanced technology development work that is going on in support of some very, how could I say, some combination of next-generation jet engine platforms that we’re being very much involved with and that will be more and more involved with. That does include if you will, tweaking, improving our existing technologies which I call derivatives technologies especially on the on the 3D woven RTM, resin transfer molding, technology. We’re looking at other also very very interesting potential applications both on the commercial and the military side, on the airframe side. So it’s all very exciting. But I cannot give that any detail on that until we come out with contract and so on. A lot of very exciting -- lot of very exciting work that really will fuel our growth in – organic growth in 2020 and past 2020.
Christian Herbosa: Okay. Good. Thanks. I’ll stay tune there. And then, so the last one from me is on the LEAP engine program it contributes about 44% AEC sales in Q4. So, do you expect LEAP program percentage of revenue to expand from there in 2019?
Olivier Jarrault: Well, we know the LEAP – if you look at the LEAP, the rights announced publicly by CFM, right? We’re going in 2019 with 1800 plus engines versus 1118 engines delivered by CFM in 2018. That’s to be compared with 459, right in 2017. Then we’ll go – CFM is talking about 2000, right. We don’t know yet number for 2020. So, we’ll keep on saying, that increased in LEAP component sales in 2019 and 2020 and the percentage would stay around somewhere on that range in the 40 to 45 range, I mean, that would be some. Though that we have had very interesting growth on the CH-53K also and on the combined fuselage frame for CH-53K and F-35 grew about 40% and you’re going to start seeing continued ramp up also on those three platforms as Boeing 787 which was 14 in June of 2019. And the F-35 and CH-53K keep on expanding build rights [ph].
Christian Herbosa: Okay, great. Thank you. That’s all from me. Thanks for your time.
Olivier Jarrault: Thank you.
Operator: And our next question will come from the line of Pete Skibitski with Alembic Global. Go ahead.
Pete Skibitski: Hey, good morning, guys. Maybe couple of financial questions to start; on the full-year free cash flow results; I think in terms of conversion is about 0.6 times free cash to net income. And I’m wondered if you guys have a target for free cash flow conversion and should we think that working capital will be a use of funds each year just because of kind of where you’re at in the supply chain and kind of nature of your receivables and contract assets performance? Can you give us some color on that?
John Cozzolino: Yes. So, hi, Pete, this is John. I’ll start with that. So, right now, when you look at the free cash and we’re really – we are still on the mode of fairly high CapEx. We talked about – that’s probably one of the bigger factors in the cash flow at $20 million to $25 million in quarter, where the good chunk of that going towards AEC. Now the real key here will be when that starts to drop off hopefully after 2019 as we have those programs ramped up. At that point the free cash flow generation will grow significantly. Now the other part of that is the working capital and we do also continue to invest in working capital to support those ramps. A lot has been done to really improve the efficiency of that and we’ll continue to keep looking at. But once we reach the whole ramp on these programs, working capital should level off. And that should also help the free cash flow. So, that’s really where we are right now going forward.
Olivier Jarrault: Yes. I think you know what we’re being doing – what you’re just starting to see in Q4, right, I mean, we had a very nice cash flow of $42 million in Q4. We dropped down our total net back to $27 million. It was very nice improvement for the full year, right. We had $5 million in cash -- cash flow. And we are, as John was saying, we are putting a lot of focus in the past now two quarters on the AEC side to really manage much more efficiently I would say our working capital. A lot of focus on inventory -- I would say, a lot of daily focus from my side directly in receivables on the aerospace side and on inventory and more and more focus throughout the 2019 since we really want to ensure that the AEC business focuses not only on EBITDA growth on ramping up, right – ramping up the volume that I just talk about and delivering a step improvement in EBITDA margin towards the EBITDA but also to start focusing on generating some free cash flow. That’s where my goal is. And so we had done I think very nice improvement in Q3, Q4 and I think that will definitely keep on happening in 2019 and 2020, right, okay.
Pete Skibitski: Right. A appreciate the color. Just a follow-up on the CapEx side, do you think that maybe the midterm or the long-term as a percentage of revenue maybe CapEx could come down to kind of the mid single-digit level kind of once this ramp is over. And also how was the potential launch of 797 or NMA, how will that impact the outlook for CapEx?
John Cozzolino: I think to answer you question, I think that you know we view the -- once we have brought in – once we have brought the equipment to support the growth of the – the growth of this CH-53K, the F-35, we have to keep on bringing equipment this year for the GE9X, don’t forget we are, right, that we’re producing the fund cashes [ph] of the GE9X, the [Indiscernible] entered in service four aircraft in 2019. But we keep on receiving equipment. We’re going to have to think also as you just mentioned about the potential, right, UHBR, the NMA which could play both on the engine and also on the airframe side. I think about in the range of $60 million a year, right, I think it’s a fair number to keep in mind, I mean the 60, right, for the total company, okay.
Pete Skibitski: That’s very helpful. Appreciate it. Last one from me and appreciate all the color. This Airbus Emirates news about -- talking about the A380; how are you guys thinking about that? Is it too early for you to comment on it? Or I’m just wondering what that potential financial impact could be to you if the rate on the A380 isn’t coming down?
Olivier Jarrault: I’m not worried at all about the A380, no, its not – I mean, for some of us who are doing pretty well in the aerospace industry, it's not a very big news, right? We knew it would come one day or another, right. So, we have a very marginal content on the A380, so, very, very marginal from sort of Salt Lake City business. So, I mean, for us it has absolutely no impact. Actually I look forward to an increase, I would say, almost an increase in rate of A350, because we have some potential, maybe some potential business to play there, right, I mean, from Salt Lake City business, right. So an increase in A350 or an increase in [Indiscernible] of the A330 and it would be actually quite good news for us, so I’m – actually I’m very pleased with the news.
Pete Skibitski: Got it. Got it. It’s very helpful. Thank you, guys.
Olivier Jarrault: Okay. You’re very welcome. Nice to talk to you.
Operator: [Operator Instructions] We’ll go next to the line of Mitchel [Indiscernible]. Go ahead.
Unidentified Analyst: Good morning.
Olivier Jarrault: Good morning. Nice to have you.
Unidentified Analyst: Thank you. So you talked about a lot of analysts have called and talked about the possibility of new wins in the future. Just based on the pipeline, can you give us a range of what that, those new wins could equate to as far as you know dollar size?
Olivier Jarrault: Well first of all you have to think about which horizon right, where you’re thinking about, right? I mean, I think if you -- I guess your question is more related to 2020, right?
Unidentified Analyst: And beyond, yes.
Olivier Jarrault: Yes, 2020 I would say that you know depending on the timing, right, of those anticipated new share gain, share gains or new first time component acquisition on existing platforms that are ramping up to date. I think, I think if everything was to materialize on time, the probability is right, that they took, that we took in our calculation that would give us roughly, that would bring us to the upper side of my range, right to 550, is about $25 million, right. You know [Indiscernible] right to all the 550. That’s what I view as of today.
Unidentified Analyst: All right. Thank you.
Olivier Jarrault: Welcome.
Operator: We do have a follow up question from the line of John Franzreb of Sidoti & Company. Go ahead, please.
John Franzreb: Maybe to ask a previous question a different way. The target margin for AEC has been that range for a while. Olivier, when you were at Alcoa, you were known for improving productivity at existing operations. You’ve been there a year now. My question is, do you think that the AEC businesses is operating at optimal productivity or is there margin improvement opportunity based on your view on how the business is performing right now versus maybe a couple of years from now?
Olivier Jarrault: Listen, I mean they are always right. Productivity improvements to be achieved, right. And I think, listen, how could I -- how could I summarize it? I feel much more comfortable today about the $100 million EBITDA target in 2020 than I was a year ago, when I saw the business operating at $30 million EBITDA, right and 11% EBITDA margin, right? So, I think you’d agree with me that all the system that we have deployed, all the metrics and all the -- all our operating system that we have put in place, drew right double, right, acquisition volume as well. But executing on the ramp up plus putting the productivity programs in place, you know helped us going to $63 million, right. So that’s about 17.1%. If I look at my past experience, right you know of EBITDA margin experience, of improvement across aerospace businesses, I think that targeting you know one point to one point and a half, right you know of EBITDA improvement is of good range, right, is good, that’s what I’ve been doing in the past 10 years to 15 years across casting businesses, forging businesses, fastening and so on. So you know with 17, you know add point and a half [Indiscernible]. That’s why I’m pretty comfortable about delivering right in the 18% to 20% range, right. And then from there we will continue going, right in the out-years, right.
John Franzreb: Okay. Fair enough. I give it a shot. Thank you sir.
Olivier Jarrault: Thank you.
Operator: We have no further questions in queue at this time. You may proceed.
Olivier Jarrault: Well again, thank you all for joining the call. We appreciate your time today and your continued interest in Albany International. I would like also to congratulate my Albany team on a strong finish to 2018. Thank you.
Operator: And ladies and gentlemen, a replay of this conference call will be available at the Albany International Website beginning at approximately noon Eastern time today. That does conclude your conference call for today. Thank you for your participation and for using AT&T Executive Teleconference service. You may now disconnect.